Operator: Good day, everyone and welcome to Gannett's third quarter 2008 earnings conference call. (Operator Instructions) Our speakers today will be Mr. Craig Dubow, Chairman, President, and CEO; and Gracia Martore, Executive Vice President and CFO. At this time, I would like to turn the call over to Gracia Martore. Please go ahead.
Gracia C. Martore: Thanks, Sean and good morning. Again, welcome to our conference call and webcast to review Gannett's third quarter 2008 results. Hopefully you’ve had a chance to review our press release from earlier this morning. It also can be found at www.gannett.com. With me today are Craig Dubow, Chairman, President, and CEO; and Jeff Heinz, Director of Investor Relations. Our goal today is to help you understand how we are moving forward at Gannett even as the financial crisis and its impact on the economy continue to put pressure on the demand for advertising. Craig will begin by discussing our transformation in light of the current economic environment. He will provide a brief overview of our quarterly results as well. I will then provide more detail, including a look at our segments and particularly our new digital segment. Because of our acquisition of Shop Local and a controlling interest in CareerBuilder and the resulting consolidation of their results, we have established this new segment. Craig.
Craig A. Dubow: Thanks, Gracia and good morning, all. Given what has been happening on Wall Street for the past several weeks, I probably don’t need to point out the global financial crisis and health of the economy have influenced our results this quarter. Advertising demand in particular has been profoundly impacted, both here and in the U.K. I will discuss that in a minute. But all of this turmoil also gives me an opportunity to share four key thoughts about Gannett -- first, I believe all of this makes it clearer than ever just how much our industry has been in the throes of a downturn that is more cyclical than secular. Next, I want to remind you that Gannett has faced cyclical downturns before and we have a proven ability to manage through them. That hasn’t changed. Also, I will stress my confidence that once this downturn cycles through, our core revenues will rebound and together with that improvement in the core, we will see continued growth in digital. Finally, most importantly, I want to talk about the plan that we have for growing revenues when the economy returns. This plan already is helping us confront the very secular changes in our industry and is setting the stage for us to grow our digital revenues as every opportunity arises. First to the cyclical effects, as you know, the economy’s problems are rooted in housing and we have been a leading indicator of the downturn there. Weak real estate undermined the local economies in many of our markets we serve. Consumer confidence fell, retail spending was curtailed, and unemployment rose. Demand for all ad categories waned but the critical real estate, retail, and employment categories were stung the most profoundly. In fact, many of the states most severely impacted are ones in which we have a significant presence in either publishing or broadcasting or both. California, Nevada, Arizona, and Florida, among others. Managing through these downturns is something that we do very well. We have done it a number of times in the last generation so we understand the cyclical dynamics. But this time we have approached our efforts somewhat differently because we understand there are secular forces at work that need to be addressed. Our goal has been to bring expenses in line with revenues as always, while at the same time being focused on the future. This has meant centralizations, outsourcing, insourcing, and an emphasis on protecting content and sales. We are transforming the way we work. This has meant a huge cultural shift for us but it is happening and continues to be an area of strong focus for us. We need to be ready because we have always bounced up from the bottom. We will again when this economy returns. When we do, our strategic plan is in place and our company will be lean and ready to move very quickly. Now let me talk about the plan for just a second -- it is all about enhancing our core business while growing the digital products our advertisers and consumers want. Creating desirable and relevant content is what Gannett does and that is the heart of the plan. Numerous efforts are underway to better align our current content production with customer and advertiser demand. We continue to refine our efforts to deliver that content across multiple platforms 24/7. At the same time, we are aligning our sales efforts to deliver the right audience to advertisers, regardless of platforms. We know this works. Pulling in an audience and monetizing that audience is occurring more frequently as we deliver digital as well as print solutions for our local small to medium-sized accounts. In some places, we have achieved record audience levels. Our digital strategy is moving forward on many fronts. This focus is on growing, partnering, affiliating, or acquiring digital businesses, finding audiences, and delivering solutions for advertisers. On one hand, we have built out the infrastructure. Among other steps, we created the quadrant one ad network and rolled out ad tech, our internal ad serving platform. Ad tech by the way has provided greater insight into our audience analytics and the ability to monetize our online inventory for both the local and national audience. We already are getting some lift from this and expect more in the coming year. In July, we made a minority investment in Mogulus, an Internet video platform. Mogulus complements Gannett's already robust multimedia infrastructure by adding the capabilities of its broadcast studio-in-a-box to journalists for information gathering toolkits. Using Mogulus technology, our publishing units have made news throughout the political campaign by airing video interviews with candidates. We also use Mogulus to break local events ranging from high school football games to incoming hurricanes. Let me explain just a little about the significance of the Shop Local acquisition. It was an opportunity that Gannett was uniquely positioned to capture because of our ownership of Point Roll. Shop Local’s relationship with a majority of the nation’s top retailers when combined with Point Roll’s ability to create rich, interactive digital circulars means that we have an end-to-end solution for retailers, not to mention a richer shopping environment for consumers. Importantly, Shop Local has already turned profitable. The other trajectory of our digital strategy is to grow niche websites that use our deep well of content and expertise to find new local audiences but can be national plays for advertisers. We rebranded our very popular Mom sites during this quarter to momslikeme.com and rolled out nationally with more than 80 sites, including all of the top 30 metro areas. The metro mix entertainment vertical has expanded and is now in 28 cities. Football season saw highschoolsports.net, which has access to audiences in over 40% of the high schools in this country, up almost 1 million unique visitors from August to September. Now, we are working at leveraging our content on the military through military times papers and health through nursing spectrum into these types of local to national plays. That is the overview of where we are and where we are going, despite the upheaval in the credit markets, the equity markets, and the economy in general. Underlying it all is the not insignificant fact that we are a solid business with a very good balance sheet, strong margins, and strong cash flow. Having that free cash flow means that we can continue to strategically invest and grow in our future. Now, turning to the results for the quarter, reported earnings per share were $0.69. They would have been $0.76 per share except for about $23 million in severance expense. Our total operating revenues were $1.64 billion. Total expenses, including severance expenses from the efficiencies I mentioned, declined about 2.2% to $1.38 billion. However, pro forma expenses excluding the severance were down 5.3%. Operating cash flow was about $324 million for the quarter. Looking at the segments, it is clear that there was no escaping the impact of this economy. Our publishing segment continued to be pressured from the decline in advertising demand rooted in the housing downturn and spreading to retail and employment. Broadcasting supplied a bright spot as we captured the revenue we expected from the Olympics and political. Olympic advertising for the quarter totaled about $24 million and achieved our expectations, given the weakness of the economy. Our folks in broadcasting did a great job taking advantage of ratings and adding revenue through their local sales efforts. Political advertising came in at about $26 million for the quarter and continues to grow as we get close to the elections. Significant growth was achieved by almost all of our stations, although the biggest drivers were Cleveland, Denver, Minneapolis, St. Louis, our Maine stations, Washington, D.C., and Tampa. We are on pace to meet our projections as our footprint lines up well with some key states in the presidential election. Colorado, Florida, Minnesota, Ohio, North Carolina, and Virginia. We also aligned with some of the most contested senate races in Minnesota, North Carolina, Georgia, Maine, and Colorado. Looking to the fourth quarter, based on our current outlook we expect television revenues to be up in the low-single-digits. Pacings are volatile and the election season and the economy will only add to that volatility. Now let’s turn to our digital segment, online revenues overall and the impact of the consolidation of CareerBuilder's and Shop Local. The digital segment now includes the results for Point Roll, Planet Discover, and Schedule Star, which is the parent company of highschoolsports.net and Shop Local, for the full quarter. It also includes one month of CareerBuilder's results. These latter two are the primary drivers of the increase in the segment’s revenues. Total revenues for the digital segment were almost $78 million. Operating cash flow for the segment was just over $10 million, reflecting positive results from CareerBuilder, Shop Local, and Point Roll. These positives were offset somewhat by our continued investment in Schedule Star and in our digital infrastructure. Looking at CareerBuilder's results a little more closely, let’s first begin with the North American network revenue, which is what CareerBuilder and we have shared with you in the past. This represents a combination of total revenues generated by CareerBuilder from its sales efforts, which represent about 75% of the total, plus total revenues generated by the CareerBuilder network of newspapers made up of affiliated owners GAAP, Tribune, and McClatchy. These revenues were approximately $189 million, down about 5% from 2007’s third quarter. The decline is primarily due to the economic climate and the downturn in employment advertising at the affiliated network of newspapers. CareerBuilder's own directly sourced or generated revenue on the other hand maintained a positive momentum and was up about 10% compared to the third quarter of 2007. We believe that reflects in part that CareerBuilder continues to take share domestically. Network traffic for the quarter was up about 1% from a year ago to 22.7 million visitors. Further, CareerBuilder continues to expand internationally and now operates websites in 15 countries outside of the U.S. For consolidation purposes, we included CareerBuilder network revenues less those revenues from CareerBuilder already accounted for in our and other companies’ publishing segments. On a pro forma basis, assuming CareerBuilder had been consolidated for 2007 and for the first nine months of 2008, revenues rose 14% for the quarter and 18% year-to-date. In addition to the revenues from businesses in our digital segment, some of our online revenues still are derived locally and are included in the results of the publishing and broadcasting. So total online revenue company-wide including the digital segment grew about 7% for the quarter on a pro forma basis and was about $177 million on a reported basis, a 49% increase. U.S. community publishing online revenues were pressured by the economy’s effect on classified advertising but strong growth was achieved in other areas. The automotive category was up 20% while the national category advanced 31%, and local was about 13% higher. However, the real estate and employment categories were down 24% and 25% respectively. Roughly 75% of our online revenue in the quarter was non-up-sell business. Overall, online revenues in U.S community publishing were about 7% lower. Broadcasting online revenues increased about 15% and Newsquest was up about 10% in pounds. But in terms of audience, sites domestically garnered a total of 25.4 million unique visitors in September, about 15.6% of the Internet audience, while Newsquest’s audience totaled 6.5 million unique visitors, with about 86 million page impressions. Now I’ll turn the call over to Gracia, but just a word about our response to the Wall Street funding crisis. It was a challenge but our people did an amazing job and we funded ourselves successfully throughout this entire ordeal. With that, let me turn the call over to Gracia.
Gracia C. Martore: Thanks, Craig. Before we go into detail on our quarterly results, I need to remind you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the investor relations portion of our website. This morning I will provide some detail on our segments, particularly our digital segment. As Craig mentioned, the consolidation of CareerBuilder and Shop Local had an impact on several items on the income statement so I will cover those changes. I will also discuss the impact severance expenses had on each of the segments and finally I will summarize our debt picture and what transpired during the quarter. Now quickly moving through our segments, as Craig mentioned the publishing segment was severely impacted by the weakening economic situation and the pressure that has put on advertisers and consumers. Pro forma advertising revenues were 17.6% lower in the quarter, reflecting declines of 14.9% in the U.S. and 23.6% in the U.K. Looking at the categories, retail was down about 10%, national almost 8% lower, and classified down about 29%. Retail advertising was challenging during the quarter here in the U.S. Across all of our products in retail, the department store furniture and telecom categories drove most of the decline. However, financial was positive in the quarter. Online advertising in retail was up significantly, as Craig mentioned. Lower national advertising in the quarter was down, primarily reflecting softer ad demand at USA Today. The advocacy category was particularly strong in the quarter and the financial, home and building categories also were positive. Declines in some of the major categories, entertainment, travel, auto, and technology, however, more than offset those gains. Moving to classified advertising, U.S. community publishing classified advertising was down about 27% in the quarter. It trended down slightly over the course of the quarter, driven by softer employment advertising. Auto was down about 19%, employment almost 37%, and real estate declined over 33%. Again, as Craig noted, Arizona, California, Florida, and Nevada have had much larger declines in classified advertising relative to the rest of our markets and that continued again in the third quarter. Properties in those states produced about 23% of ad revenue in the U.S. community publishing, yet they drove 36% of the ad revenue decline. The U.K. economy took a big step down at the end of the first quarter and the economy there is suffering from these same issues, if not a little worse, than we are in the U.S. That is reflected in classified advertising at Newsquest, which trended down in the quarter, due primarily to real estate and employment. Some anecdotes regarding the economic situation in the U.K. include the fact that mortgage lending fell to its lowest point in 3.5 years during September. The number of people out of work in the U.K. rose materially in the three months to August, the biggest drive in 17 years. And as reported this morning, Britain’s economy shrank in the third quarter by 0.5%. Craig covered our broadcasting business in some detail so I will turn now to digital. With the creation of the digital segment, hopefully it will help you understand a bit more about several of our digital businesses. The timing of the transactions has complicated the picture for this quarter so let me go through the various pieces for you. As Craig mentioned, CareerBuilder, Shop Local, Point Roll, Planet Discover, and Schedule Star are now in that segment. We acquired our partners’ ownership stakes in Shop Local on June 30th, the first day of the third quarter. We began consolidating Shop Local at that point, so their results are included in the digital segment for the entire quarter. We acquired an additional 10% of CareerBuilder on September 3rd, bringing our ownership to 50.8%. We began consolidating CareerBuilder at that date so their results are included in the digital segment for roughly the last month of the quarter. Before this consolidation, our equity share and the results of these two companies was reported in equity earnings. Therefore, the line item equity income or losses from unconsolidated investees includes roughly two months of our equity share of CareerBuilder's results and no longer includes Shop Local, as it did last year. Also due to the consolidation, we now have a minority interest expense related to CareerBuilder, that part of it that we do not own, that is in other non-operating items. Obviously next quarter’s results will present a much clearer picture as digital will contain a full quarter of both of their results. Revenue in the digital segment was about $78 million this quarter. Expenses were roughly $71 million and operating cash flow was over $10 million. On a pro forma basis, assuming we owned CareerBuilder and Shop Local for the entire third quarter in 2008, digital revenue would have been in the range of $175 million to $185 million, and operating cash flow would have been in the $20 million to $25 million range. One other item related to the consolidation of CareerBuilder and Shop Local and the new digital segment -- these businesses have significant variances month to month not only from a revenue perspective but also from an expense perspective. At the same time, they have become, as you can see, a much larger piece of our revenues. This will clearly make month-to-month revenue reporting somewhat more volatile and not necessarily correlate to the expense picture quarter to quarter. Therefore, for the time being, we will be eliminating our monthly revenue and statistical reports. We will, however, update you on our revenue picture toward the end of each quarter to help you understand directionally where revenues are and help you fine-tune your models. With that, I want to turn to another factor that had an impact on our results for the quarter, our expense efforts and specifically the severance expenses related to those efforts. As you saw, total severance expense was $23 million for the quarter and impacted primarily the publishing segment. As you may know, during the quarter we had over 1,000 FTE reductions in the U.S. community publishing group. The full impact of the expense reduction associated with these FTEs will be realized in this quarter, the fourth quarter. So as you can see, total reported operating expenses were down 2.2%. However, on a pro forma basis and excluding severance expenses, they were actually 5.3% lower. Operating expenses purely in the publishing segment fell 6.6% on a reported basis and 7.1% on a pro forma basis, excluding severance. The declines reflect our efficiency efforts and lower newsprint expense. Newsprint expense was 3.4% lower. Usage prices were up significantly, almost 16%, although that was offset by a decline in consumption of almost 17%. Let me quickly update you on newsprint -- after three quarters of unprecedented price moves by producers, the market appears poised to challenge the sustainability of continued increases. Cost pressures used by producers to justify aggressive price increases have eased considerably in recent months. A stronger U.S. dollar has significantly improved revenues for Canadian producers. Energy costs continue to decline and pricing for old newspaper used to manufacture recycled newsprint has fallen 17%. These cost advantages for producers, combined with lower consumption and rising inventories, have weakened market fundamentals for higher prices. In fact, a sizable price variance has developed between east and west and despite plans by eastern producers to raise prices in the fourth quarter, western producers decided against an October implementation. These developments leave producer plans to raise prices yet again during the fourth quarter clearly in question. Jumping back to segment expenses and turning to broadcast, their expenses in the quarter were 4.3% lower and were about 6% lower excluding severance. Corporate expenses were over 19% lower in the quarter, primarily reflecting compensation accrual adjustments. The last item I want to cover before I discuss our current debt structure is fittingly interest expense. It was almost 26% lower in the quarter and totaled $46.8 million, compared to $63 million in the third quarter last year. The decline was due to both lower interest rates and debt balances. Moving to our debt structure, as many of you are aware, we have traditionally been a significant user of commercial paper, around $2 billion in June and July. When the credit market seized up in September and early October, the commercial paper market essentially froze and became at best an overnight market. We continued to fund ourselves with commercial paper despite the market conditions, although at very unattractive rates. In mid-September, we partially drew down on our committed revolving credit facilities to reduce dependence on very short-term CP. Given continued market dislocation and the somewhat tenuous situation with the federal bailout plan, as a prudent liquidity measure we drew an additional $1.2 billion on the revolver. That brought the total to about $1.9 billion, funds sufficient to repay all of our outstanding commercial paper obligations. We paid down some of our commercial paper immediately and invested roughly $830 million to pay down the balance as it matured. At this point, there is approximately $203 million in commercial paper outstanding and we have a similar amount in investments to cover those maturities. The bulk of commercial paper still outstanding will mature by the end of this month, with the rest roughly $25 million, maturing during November and December. So at this point, in addition to commercial paper, amounts drawn under the facilities and the $280 million bank facility, we have public debt of about $1.75 billion. Total debt is about $4.1 billion and our actual net debt excluding investments set aside to repay commercial paper, is about $3.9 billion. Our all-in cost of debt is about 5% at the moment. We expect we will have about $3.8 billion in debt outstanding at the end of the fourth quarter. A few of you have asked about our revolving credit facilities. We have now received commitments from our banks to substitute a debt-to-EBITDA coverage ratio in place of the existing minimum shareholders’ equity covenant. We will close on that amendment next week. A couple of other balance sheet items before we go to questions. Capital expenditures totaled approximately $45 million for the quarter and $103 million year-to-date. One note here as well -- with the consolidation of CareerBuilder, we will now account for 100% of their capital expenditures in our numbers, so CareerBuilder will add about $13 million to CapEx through year-end. CareerBuilder, however, as you know, funds its own capital expenditures so this is not a cash outlay by Gannett. We expect capital expenditures for the year, including CareerBuilder, to be in the range of $160 million to $170 million. With respect to shares outstanding, shares at the end of the quarter and basic quarterly average were both $227.9 million. Now we’ll stop and Craig and I will be happy to take your questions. Sean.
Operator: (Operator Instructions) We’ll go first to David Clark of Deutsche Bank.
David Clark - Deutsche Bank: Thank you. Good morning. Could you talk a bit about your preprint trends for U.S. papers? I guess what portion of your U.S. retail business right now is coming from preprint, what’s the trend been in preprint? Has it been better than the overall retail trend? Thanks.
Gracia C. Martore: David, on the preprint side, looking at our units, U.S. community side, preprints were down about 10% in the third quarter so a little bit better than the overall trend in retail. And as I recall, preprints are about 16% of ad revenues in the community publishing area.
David Clark - Deutsche Bank: Great, thanks.
Operator: We’ll take our next question from Edward Atorino of Benchmark.
Edward Atorino - Benchmark Capital: I’ve got two questions -- I presume most of the severance was in the SG&A line, which was up about -- was it, it looks like it was up about $13 million from last year?
Gracia C. Martore: Yeah, let me go through that.
Edward Atorino - Benchmark Capital: And the second question, if you could go over -- well, let’s do that one first.
Gracia C. Martore: Okay. There were about $20 million of buy-outs actually in cost of goods sold and about $3 million in SG&A. What actually drove SG&A this quarter was the inclusion of CareerBuilder, Shop Local, and Schedule Star, whose expenses are primarily selling and G&A expenses. So if you look at reported SG&A expenses, they were up about $14 million to $15 million. However, if you look at them on an adjusted basis, taking out buy-outs and all the new properties, actually SG&A expenses would have been down over 7%.
Edward Atorino - Benchmark Capital: So on the year to year fourth quarter, last year reported was 315. We should crank that up, I guess, for the fourth quarter this year?
Gracia C. Martore: You will actually have to crank it up for -- remember that number I just gave you only included one month of CareerBuilder, so you will have to crank it up and Jeff can give you some guidance on that.
Edward Atorino - Benchmark Capital: And where is the revenue -- is the revenue offset somewhere?
Gracia C. Martore: Yes, in our digital segment.
Edward Atorino - Benchmark Capital: Okay.
Gracia C. Martore: In the digital segment.
Edward Atorino - Benchmark Capital: Okay. And I had another question -- well, I forgot what it was. Let’s move on. I’ll get back to you.
Operator: We’ll go next to Alexia Quadrani with J.P. Morgan.
Alexia Quadrani - J.P. Morgan: Thank you. Can you give us some color on the print side of what you did see in September and how October has trended so far, also including what you are seeing at USA Today?
Craig A. Dubow: You know, the overall trends are continuing very much similar to what we have seen, Alexia. There has not been much change, particularly from the community publishing side. On the USA Today, I think Gracia outlined what the key categories were and where we have been. Again, that is predominantly in similar position to where we have been at this time.
Alexia Quadrani - J.P. Morgan: And at Newsquest, I guess where are you in terms of your strategic thinking? That business has suffered for some time and clearly the U.K. economy is probably going to weigh in it for some time to come. Are you still -- is it still a core property for you guys going forward?
Craig A. Dubow: You know, Alexia, we have been very proud of what the Newsquest folks have done for us for a number of years and we are very, very aware of the impacts that have occurred because of the economy. Our belief in this is that at a point in time here, that will pass and we have, as you know, restructured the businesses in a significant way and have a strong belief that we will see that bounce, if you will, once we can move past the significance of this economic downturn. They are a bit behind us. I think it is quite clear when you take a look at it, maybe six to nine months or so in what we are seeing that’s already occurred here in the U.S. But we are most hopeful that we will see some bounce come once we can move past this.
Alexia Quadrani - J.P. Morgan: And I apologize if I missed it, Craig, earlier but did you give us your expectations for political spending in broadcast in Q4?
Craig A. Dubow: You know, we are pretty much right on target, if not even a little better at this point, from what we are seeing. There has been I think a significance really coming in from the senate side. I had listed the states for you, and as well there is even more being ramped up here from the presidential side and again, those states we listed as well. Gracia, do you have the total, roughly? But we’re ahead, just to put it directly to you, Alexia, and we are very pleased with what has been developing in those key markets.
Gracia C. Martore: Alexia, we had budgeted right around $50 million for the fourth quarter and at this point currently, we are probably about 10% ahead of that but it’s pretty volatile and you never know from day to day who is going to add spending and who is going subtract spending from any particular state, so that’s kind of a fluid number at this moment. You know, it would be good to point out also that when we look at what we are achieving in the last half of 2008, it will exceed what we achieved certainly in 2004 and also may achieve what we were able to do in 2006 as well.
Alexia Quadrani - J.P. Morgan: Thank you.
Operator: We’ll take our next question from John Janedis of Wachovia.
John Janedis - Wachovia: Thank you. Looking at your pacings, I know that they are a snapshot in time but up low singles in a political year is a little weaker than I would have expected. Can you give us a bit more color on how weak autos actually look, and maybe some more detail on other categories and what they are telling you for either 4Q or ’09?
Craig A. Dubow: Yes, thanks, John. You know, overall as we have been saying, the critical areas, particularly in automotive, it’s been a double-digit decrease and that has been fairly consistent across the quarter. Packaged goods have also been down in a similar range, along with telecommunications. So as we have been suggesting through the quarter, those core key areas have had a significant downside. And then obviously that’s been offset in a very, very significant way through the political and also from the Olympic spending that did occur.
John Janedis - Wachovia: Would those three together be somewhere in like the 40% range of -- or more of the category for you in terms of the business?
Craig A. Dubow: Yeah.
Gracia C. Martore: I think with the retail, auto, and --
Craig A. Dubow: Yeah, between auto, retail, your packaged goods, telecommunications, yes.
John Janedis - Wachovia: Thank you very much.
Operator: We’ll take our next question from Craig Huber of Barclays Capital.
Craig Huber - Barclays Capital: Good morning, a few questions -- the first one, your tax rate I noticed was quite low at 26.5%. It helped EPS by 5% to 6%. Why was that, Gracia? Was it catch-up or what was it for?
Gracia C. Martore: What it was, Craig, was some very favorable tax settlements in some state issues. Also we are benefiting a little bit from the lower statutory tax rate in the U.K. It was 30% last year; it is 28% this year. Now, looking at the fourth quarter, we are anticipating that the tax rate may stay in about that range because there were also some other state tax issues that may settle in late this month that would be favorable to the tax rate as well.
Craig Huber - Barclays Capital: Okay, and then also your non-newsprint cash cost percent change in the quarter, what was that, please? For the newspaper division, obviously.
Gracia C. Martore: For the newspaper division, I think we’ve been looking at it on a -- do you have that? We’ll pull that out for you and come right -- let’s see, publishing excluding newsprint, excluding severance in the third quarter was down about close to 8%.
Craig Huber - Barclays Capital: Okay. And then also you mentioned the debt covenants I think being replaced --
Gracia C. Martore: One debt covenant is all we have.
Craig Huber - Barclays Capital: Yeah, you get rid of shareholder equity covenant in place of the debt-to-EBITDA ratio [test, it says].
Gracia C. Martore: Yes.
Craig Huber - Barclays Capital: Can you share with us what that test is going to be --
Gracia C. Martore: Sure.
Craig Huber - Barclays Capital: And then also if I could ask, what -- are you going to have to pay a higher spread over LIBOR in order to make this change for your bank debt?
Gracia C. Martore: With regard to the covenant, it is a senior debt to EBITDA of 3.5 times and a total debt to EBITDA of 4 times covenant. Given that these facilities have historically been un-funded facilities and now they have become funded facilities, the spreads, we have increased the spreads for the banks to levels that are a little bit higher than the $280 million term loan we put in place I think it was earlier this year, so in that kind of 100 to 150 kind of range over LIBOR.
Craig Huber - Barclays Capital: Okay, and then lastly, if I could --
Gracia C. Martore: -- credit rating.
Craig Huber - Barclays Capital: Okay, and then also you are getting rid of I guess temporarily the monthly statistical press release on your operations. I mean, you guys have been putting that thing out for like -- at least since 1990, the monthly stat report on newspapers and TV stations. I understand your explanation, given the monthly volatility with digital. But have you thought much about maybe just putting it out each month and just not including the digital revenues so people can see every month how the newspapers and TV stations are operating? Because the worry out there, of course, is given the cyclical pressures and the secular pressures, eliminating this monthly report, which is great information for your shareholders, many of which have been with you guys for years and years, pulling that out -- this is like the very worst time you could possibly pull it for these people, isn't that right?
Gracia C. Martore: Well first of all, I think there is a mixed bag in our industry already. Some of our peer group companies publish them and some don’t already. Secondly, if we were not to include --
Craig Huber - Barclays Capital: But you guys are better than them, though.
Gracia C. Martore: Secondly, if we were not to include the digital revenues, that potentially is 15% or 16% of our revenues that you would have no insight into, so I think that as I said, we will provide guidance towards the end of the quarter vis-à-vis directionally where these numbers are going. We will give you some category details, so I don’t think you will suffer from having the appropriate information. I am just not sure what the benefit is, given that some do, some don’t, of having it on a monthly basis and particularly in the digital side. There’s no one else out there that is providing monthly numbers, particularly in the CareerBuilder situation, so I think we are very comfortable that the amount of guidance we are going to give folks toward the end of each quarter will be certainly sufficient to help you understand what the revenue picture looks like.
Craig Huber - Barclays Capital: [I’m not trying to be derogatory here] by any stretch but it just seems like just given how much pressure it is on your revenues, and The New York Times and McClatchy and everybody else, that this is the single time in your history you should be giving information to investors [so they can be making] more informed decisions and your bond holders, et cetera. I mean, I’ll make an analogy perhaps you can appreciate -- I mean, you guys don’t stop printing a newspaper when the news is really bad. Why is this being stopped now? I mean, you guys have been doing this for well over 15 years.
Gracia C. Martore: First of all, Craig, you are making an assumption that we are stopping it because the news is bad and that’s not why we are stopping it temporarily. We are stopping it because we don’t believe that providing this information on a monthly basis is significantly more helpful than simply producing it on a quarterly basis. We’re not running our company on a month-to-month basis. We’re running our company on a more intermediate to long-term basis, so I think that we look at the trends, we’ll provide you with good information every quarter, and that will hopefully be ample for all of you to understand the direction that the business is --
Craig Huber - Barclays Capital: I appreciate that, I’m just responding to questions or concerns I’ve been getting in my e-mail inbox the last 45 minutes from investors that own your stock. I would just hope that you could reconsider as time goes on.
Gracia C. Martore: Well, as we said, we are doing it, temporarily suspending it. At a point, we may reinstitute it but I think we will continue to give the guidance that our investors and bond holders need. Thanks, Craig.
Craig Huber - Barclays Capital: Very good. Thanks for answering all my questions. Thank you.
Operator: We’ll take our next question from Catriona Fallon with Citigroup.
Catriona Fallon - Citigroup: Thanks for taking the question. Just looking at the balance sheet, it looks like you have about $750 million in floating rate notes that are due in May of ’09. What are your plans with that? And then specifically, do you have discussions around the dividend and would you change the dividend? And also, have you been buying back stock? What are your plans for stock buy-backs throughout the course of the year?
Gracia C. Martore: With regard to the $750 million that comes due in May, we have more than ample capacity under our committed revolving credit facilities to fund that maturity. And then as you probably see in our maturity profile, we have no maturities in 2010. You I think asked a question regarding the dividend. I think given the current credit crisis and the economic backdrop, as with all companies in the United States, frankly, we are evaluating our capital allocation. We’ve discussed it, we will continue to discuss it with the board. We are going to weigh it against having flexibility within our balance sheet, while at the same time doing the right thing by our shareholders. But obviously when you look at our share price, we are clearly not being paid for that dividend at this point. And I think your third question --
Catriona Fallon - Citigroup: Was about share buy-back and --
Gracia C. Martore: Share buy-backs -- no, we did not do any share buy-backs in the third quarter. I think on our earnings call last quarter, we indicated that given the credit crisis and the economic backdrop, that we would be focused on two things -- number one was to continue to do good, strategic acquisitions, and I think we demonstrated that with our acquisition of the 10% of CareerBuilder, as well as the remaining pieces of the equity of Shop Local and in the short to intermediate term, we will be focused otherwise on paying down debt.
Catriona Fallon - Citigroup: Thank you so much.
Operator: We’ll take our next question from Michael Kupinski of Noble Financial Group.
Michael Kupinski - Noble Financial Group: I just wanted to weigh in again with what John Janedis just mentioned in terms of the monthly stats -- I think it would be, in this environment, something that you should strongly consider continuing. In terms of just following up on the question on the buying back of stock, Craig, I was just wondering if you really felt that Gannett is going to continue to manage through this financial turmoil and you feel confident that this is a -- more of a cyclical rather than a secular issue, and that you have debt levels that are comfortable to manage through the situation, why wouldn’t you buy back stock a little bit more aggressively, given the current stock price certainly? And theoretically then, coming out of this recovery, you could see a much stronger rebound in the stock price. What are your thoughts about the current stock price and certainly adding some confidence into your what I would say more optimistic view of coming out and into a recovery? You know, buying back stock would probably indicate that. What are your thoughts on stock buy-backs going forward?
Craig A. Dubow: Let’s just first address, Michael, where we are. We do believe that once we are through all of this, we can go back and review history. We can look at traditionally what that bounce has been. We can also suggest that the bounce hasn’t been as strong as where we were previously, and hence why we are forcing so much effort right now into the digital side. And we do feel very positive about that. You can see what we said, go back three years ago and you can really begin to see the opportunities that are developing as we go forward here. We have got to get through this cycle. We know that there are secular pressures as well and we just believe that these key categories, when you look at the impact, specifically from real estate, when you look at all the associated categories, the furniture, the home improvement, and auto, all relate and at a point in time they will come back. So all of that is what we are putting together and then certainly as we are talking here now with the consolidation of CareerBuilder, the excitement we have with that and certainly with our combination now of all of Shop Local and Point Roll combined, we are very pleased, despite all of the surroundings, you know, we’ve got a profit right now and in that new business and frankly we are looking forward on that. Gracia, do you want to just talk further on the buy-back? I mean, we have stopped that temporarily and let’s just talk it through.
Gracia C. Martore: I think given, as we’ve said, given the uncertain economic times and frankly uncertain credit markets, even though we are in very good shape vis-à-vis that, these are uncertain economic times and I think in the short-term, being focused on having that balance sheet flexibility to do the acquisitions like a CareerBuilder, like a Shop Local, is strategically very important. And then continuing to build that capacity by paying down debt is also I think a very prudent measure, given where the economy is right now. We haven’t ruled share repurchases out forever. I think what we’ve just simply said is in the short-term, we need to focus in on these two aspects until we get more clarity on the economy as well as on the credit markets.
Michael Kupinski - Noble Financial Group: And just in follow-up on the previous question too on the dividend, is that on the table in terms of cutting the dividend? Certainly you are not getting credit for it in the marketplace today.
Gracia C. Martore: You know, as we’ve said, we talk with our board on a regular basis about capital allocation. We will be meeting with them next week and we will meet with them again in December and certainly our dividend, share repurchases, debt, our balance sheet, will all be topics of discussion.
Michael Kupinski - Noble Financial Group: If I could just beg one more question -- some time ago you obviously had some initiatives to increase the number of niche publications and so forth, and certainly as you emerge out of this, you hope to be a stronger competitor. Have you noticed that other niche publications in your markets are kind of falling off at this point? Do you think that you are becoming more competitive in the marketplace, that you are -- you know, in other words, just kind of looking forward here, are you seeing some of these publications, niche publications kind of falling by the wayside? And in your view, are you going to continue with a lot of your niche publications or do you think that you are going to retrench -- in other words, what are your plans for some of these publications?
Craig A. Dubow: Michael, frankly it’s a great question and when you take a look, and we have talked a lot about our aggregated selling, and when you talk about the overall market reach that we have on a 75%-plus basis within the markets when you combine our core plus our non-daily, and then our online as well now as mobile platforms, we have tremendous reach within those markets and what we are trying to do is fine-tune those so that we can deliver the best in content to the customer in ways that they want. As we have said over and over again, we will tailor that if there are areas that we see that will work better by the demand, we’ll put more of those out. We’ll contract in the event that we see things that don’t work as well. But all in all, the real opportunity as we see it right now is when you look at the total reach on a penetration of market by our portfolio of products, we are very pleased with where that is going and most importantly how that is serving the consumer, because all of this ties back. We want to know exactly what their desires are and we will deliver it for them. That’s what we are seeing right now.
Michael Kupinski - Noble Financial Group: And there is a lot of distressed properties out there -- what is your appetite for picking up a few assets here and there?
Craig A. Dubow: You know, Michael, we don’t change our position on anything. First I think it’s obvious we are looking at digital and where that strategically can apply, I think when you step back and look at the numbers and really what’s been developed here through the Shop Local, through CareerBuilder, and our other acquisitions, certainly the organic growth of Moms Like Me, we have lots of direction there. And if there is a strategic fit, that would be the first priority. Obviously if there are other areas that would fall in the broadcast area that might make good duopoly sense, yes, we would look at the core and certainly within publishing, the same thing -- if they are good consolidation opportunities, printing consolidation, and other synergistic things that will apply. Now, if there are other properties that were to come up that might be in a different situation, again if the economics are right, the price is right, certainly we will consider them. We know how to operate and consolidate within these markets and we would feel very comfortable with that.
Michael Kupinski - Noble Financial Group: Would you get into another medium, like radio, for instance? Or would you just stick to your knitting in terms of broadcasting and newspapers?
Craig A. Dubow: You know, I think at this point, as we always do, we would be open to looking at anything but we want to stay in these kind of volatile times and within these markets to what is it we do best, and that I think is quite clear in how we can run these operations and certainly the expansion into the digital platforms as we see it.
Gracia C. Martore: Thanks, Mike. I think we have time for two more single questions.
Operator: We’ll take our next question from Peter Salkowski of Goldman Sachs.
Peter Salkowski - Goldman Sachs: Good morning, everybody. Gracia, I was hoping you could help us out a little bit on the digital front in terms of sort of expectations, not only on the revenue line but also down in the equity -- you know, what impact it has on the equity income line and the other line, now that those things get pulled out on a going forward basis.
Gracia C. Martore: In the equity line, as you saw, Peter, it was down about $9.6 million year over year. There’s a couple of things that impact there -- one is we have our California newspaper partnership, Texas, New Mexico newspaper partnership and Tucson in there, and as you know, the California newspaper partnership would be the lion’s share of that and we all know what is going on in the California market. So that clearly had a significant impact on the equity line. Also in there is our joint venture interest in Metro Mix, and we have obviously been in a ramp up mode on Metro Mix, so there are investment dollars for Metro Mix. Those will obviously continue into the fourth quarter. Also in that equity line is only two months of CareerBuilder instead of the normal three, so next quarter CareerBuilder will no longer be in that line. And then finally, with all of those pieces, I think what you might see is the equity line be in that range year over year or even slightly higher loss as a result of the fact that CareerBuilder will not be in that line next quarter.
Peter Salkowski - Goldman Sachs: So should we expect that line to basically go negative in the fourth quarter, given CareerBuilder coming out of there?
Gracia C. Martore: I don’t think it will go negative but I think that it will -- there will be a greater variance quarter over quarter.
Peter Salkowski - Goldman Sachs: All right. Thank you very much.
Operator: We’ll take our next question from Matthew Miller of [Investco].
Matthew Miller - Investco: I was wondering if you could give a feel for cash outflows that we might expect for severance and restructuring expenses for the next couple of years. A comment was made that the full impact will be felt in fourth quarter. I just want to confirm that that’s a -- you are speaking of the full impact in terms of reduction of costs, not in terms of new severance. And to follow on that line, if I look at a 10-year CAGR of asset growth at the company, it’s about 8.6% and operating cash flow has grown at 4.3%. Why would you look to continue to increase capital employed in the business via acquisitions as opposed to distributing it to shareholders?
Gracia C. Martore: Let me start with the first part of your question, with regard to -- yes, I was referring to the fact that the full benefit of the 1,000-plus FTE reduction that we took in the third quarter, we will not get the full benefit of that expense reduction until the fourth quarter. However, I think given where economic conditions are and as Craig has indicated previously, we will be looking at additional FTE reductions in the fourth quarter, certainly on the publishing side, here on the corporate side, and in other divisions. So we don’t have our arms fully around yet what the magnitude of those severance expenses will be. We are in the planning process right now and looking out to 2009, so when we do, we will try to report on that for you, give you a better sense of it, when we are up on Wall Street in early December. With regard to your question related to additional acquisitions in our core businesses, I think clearly as Craig has said, we would only entertain those kinds of acquisitions where it was clear that we could cluster them and make significant expense reductions on those properties at a time when prices are obviously significantly depressed. So those would be very unique situations but I think that you will see more likely a continuation of the kind of things that we did this quarter with the acquisition of the additional controlling interest in CareerBuilder, the acquisition of Shop Local where up until the acquisition, we and our partners were investing in Shop Local. We knew that when we combined Shop Local with Point Roll, our rich media company, that there would number one be tremendous expense synergies available, as well as there would be terrific new revenue opportunities, as Craig alluded to in his remarks. And frankly, we are very quickly out of the box, seeing that and Shop Local has turned to a positive contributor here in the third quarter from a couple of years of investment that all of us had.
Matthew Miller - Investco: Thank you. I may have missed a net debt number -- would you mind giving that number out?
Gracia C. Martore: Yes, I think we said that net debt was about $3.9 billion and we expected it to be about $3.8 billion at the end of the year.
Matthew Miller - Investco: Thank you.
Gracia C. Martore: Thank you. We appreciate your being and joining us on this call and if you have any additional questions, please feel free to call Jeff Heinz at 703-854-6917, or me at 6918. Thanks for joining us today.
Craig A. Dubow: Thank you very much.
Operator: Again, ladies and gentlemen, this does conclude today’s conference. We thank you for your participation. You may disconnect at this time.